Operator: Greetings, and welcome to the Blonder Tongue Laboratories 2016 First Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Bob Palle. Thank you. You may begin. 
Robert Palle: Good morning. Welcome to Blonder Tongue's First Quarter 2016 Financial Reporting Teleconference. Before we begin this morning with any details of performance, I'd like to preface my remarks and those made by other Blonder Tongue representatives who may be speaking today by reminding you that we will be discussing certain subjects which will contain forward-looking statements, including management's view of our prospects and evolving trends in the marketplace. As you know, the future is impossible to predict, so I caution you that actual results may differ from those that may be projected in our comments this morning. I would ask you that you refer to our prior SEC filings, our Form 10-K for the year 2015 and our Form 10-Qs from prior quarters for additional information concerning factors that could cause actual results to differ from the information discussed this morning. 
 With me today are Eric Skolnik, Blonder Tongue's Chief Financial Officer; and Steve Shea, Blonder Tongue's Chairman of the Board. All of us will be available to answer any questions you may have following our presentations. 
 It has only been 6 weeks since the prior investor teleconference for the year ending December 31, 2015. Not much new has developed since that call. Regardless, the press release comment bears repeating. We were pleased with the comparable period improvement in our first quarter net sales as well as the reduction in the size of our net loss. These improvements were, in large measure, driven by fulfillment during the period of a majority of a large order for a key customer in the retail space with the balance of that order having now shipped in April. 
 Looking forward, while we are realizing the benefits of our multiphase cost reduction efforts, the outlook for sales for the remainder of the year remains flat as we continue our efforts to conclude several large opportunities that we have been working on for some time and to identify new opportunities. 
 Now I would like to turn the call over to Eric Skolnik, the company's Chief Financial Officer. And following Eric, we will have an open question-and-answer session. Eric? 
Eric Skolnik: Thank you, Bob. The company's Form 10-Q, which was filed today, included a going concern qualification given uncertainty regarding our liquidity, which was first discussed in our Form 10-Q filed in November of 2015. While we believe this qualification is primarily driven by the current status of our line of credit with Santander Bank, which, as you know, has been on successive, relatively short-term extensions of the maturity date since February of this year. It is currently set to expire on June 1, 2016. Santander continues to be a strong partner for us as we have navigated through this protracted period of depressed sales, and we believe that they will continue to support us as we regain our footing. 
 As noted in the Form 10-Q, we have taken a number of steps to alleviate our liquidity situation, including certain operational and financial processes. In addition to a number of cost reduction programs to reposition the company to become profitable at a lower level of net sales, we are also in detailed discussions with Santander as well as other lenders who could refinance our existing indebtedness. I will refer you to our form 10-Q for a more detailed description about our liquidity as well as our plans to enhance our liquidity. 
 Net sales increased $1,201,000 or 25% to $5,943,000 for the first quarter of 2016 from $4,742,000 for the comparable period in 2015. Net loss for the 3 months ended March 31, 2016, was $288,000 loss or a $0.04 loss per share in 2016 compared to a loss of $1,415,000, or a loss of $0.23 per share for the comparable period in 2015. The increase in sales is primarily attributed to an increase in sales of digital video headend products and data products offset by a decrease in analog video headend products. Sales of digital video headend products were $3,291,000 and $2,109,000, data products were $759,000 and $65,000, and analog video headend products were $577,000 and $1,040,000 for the first 3 months of 2016 and 2015, respectively.
 Now I would like to turn the call over to our Q&A session. 
Operator: [Operator Instructions] Our first question comes from the line of Ken Hemphill [ph], a private investor. 
Unknown Attendee: I was looking -- I always see on the Internet that your competitors are Ericsson, QUALCOMM. So I looked up QUALCOMM sales. They're like $22 billion. Are they really a true competitor or... 
Robert Palle: They are not. 
Unknown Attendee: You don't sell the same things that they do? 
Robert Palle: I have no idea. We do not see them in the customers that we're approaching with the products that we're approaching our customers. 
Unknown Attendee: Who would be considered your competitors? 
Robert Palle: Vecima. 
Unknown Attendee: I'm sorry? 
Robert Palle: V, as in Victor, E, C, I, M, A, ATX Networks, Pico Digital. 
Unknown Attendee: Are they all experiencing a severe downturn in sales also? 
Robert Palle: I think everybody's down a little. I honestly don't know. Vecima is public. I could go look. I haven't looked. And Pico and ATX are private. 
Unknown Attendee: And I see that the outlook hasn't changed much for future on sales so now the trick is to make the -- try to hit profitability by shrinking the company down to the level of sales. 
Robert Palle: No, I think the profitability is to increase sales, but I don't see that happening in 2016. Hence, we -- the comment that we're forecasting that it will be flat. 
Unknown Attendee: So for 2017, it said that the economy hopes -- you hope it picks up, or what else is going to change the picture for next year? 
Robert Palle: Well, we've been working on several large opportunities. And as you know, in this -- in our space, the sales cycle's a year-plus. So that's where we're looking at. We went into -- you weren't on the last call when we went into quite a lot of detail and back and forth and debating this. We are not going to reveal our product roadmap in these teleconferences, because if you look at the list of people that are calling in, our competitors call in and listen. So we just like to talk about those things in a much more general terms. 
Operator: Our next question comes from the line of Richard Todaro with Todaro Capital. 
Richard Todaro: When you guys are talking flat or flat sales, are you talking sequentially that they'll be flat based on this run rate? Or would they drop down from this because you -- delivery from [ph] products? 
Robert Palle: No. You can look at our historical lumpiness throughout the year. The winter is usually down for us, and the summer is normally better. And I think it's going to follow that same seasonality. 
Richard Todaro: Okay. So -- and then, based on what you know, do you guys have liquidity to make it assuming your bank extends it or you get another line? You could have liquidity and make it from now through 2017 when you think sales would pick up? If not then you... 
Robert Palle: Yes, of course. Assuming that we have an extension or an alternative person to take the bank out, yes. 
Richard Todaro: Okay. Have you guys -- I've tried to look through the filings, but I'm not for sure. Is -- have you drawn down the line further from Bob and then the board members that have contributed? 
Eric Skolnik: Not since we filed our -- well, if then the 10-K, we discussed things that were going to happen in the first quarter. The total amount of outstanding on the subordinated debt is currently at $500,000. There's still another $250,000 available to draw if we needed to. And also of the $500,000, we still, as of right now, we still not have spent $200,000 of the 500,000. It's still segregated. 
Robert Palle: And I believe that's the status as of the last call 6 weeks ago. 
Eric Skolnik: Yes. 
Richard Todaro: Okay. And then just as it relates to that, do you guys have more leverage to pull on expense side if you had to? 
Robert Palle: Of course, we can always pull those triggers, but when you get down to the meat, you pay the price in the long term. So we're trying to resist that. 
Operator: [Operator Instructions] Mr. Palle, there seems to be no further questions at this time. So I will turn the conference back to you if you'd like to make any closing remarks. 
Robert Palle: Well, thank you very much. Thanks, everyone, for joining the call, and I hope you have a great day and a great year. 
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.